Operator: Good day, ladies and gentlemen. And welcome to the First Quarter Boyd Gaming Corp. Earnings Conference Call. My name in Conselley, and I will be your facilitator for today's call. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Josh Hirsberg, CFO. Please proceed, sir.
Josh Hirsberg: Thank you, operator, and good morning, everyone. And welcome to our first quarter earnings conference call. Joining me on the call this morning are Keith Smith, our President and Chief Executive Officer; and Paul Chakmak, our Executive Vice President and Chief Operating Officer. Our comments today will include statements relating to our estimated future results including, among others, the financial outlook for the company, our expansion and development projects and other market and business and property trends that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today's date, and we undertake no obligation to update or revise the forward-looking statements whether as a result of new information, future events or otherwise. Actual results may differ materially from those projected in any forward-looking statement as a result of certain risks and uncertainties, including, but not limited to, those noted in our earnings release, our periodic reports and our other filings with the SEC. During our call today, we will make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today, and both of which are available in the Investors section of our website at boydgaming.com. Finally, as a reminder, we are broadcasting this call on our website at boydgaming.com and streetevents.com. I'd now like to turn the call over to Keith Smith, our President and CEO. Keith?
Keith Smith: Thanks, Josh. Good morning, everyone, and thank you for joining us this morning. Our first quarter results were very encouraging from an operating perspective. Despite the difficult comparisons to last year's first quarter, our wholly-owned business showed year-over-year quarterly EBITDA growth for the first time since the recession began. Of our 13 major wholly-owned properties, eight posted year-over-year growth in the first quarter compared to just 2 in the first quarter of 2010. On a regional basis, we saw growth accelerate in the Midwest and South region. We returned to positive comparisons in Downtown Las Vegas, and we held a year-over-year EBITDA GAAP steady in the Las Vegas Locals region. We were especially encouraged by our March results when 11 of our 13 major wholly-owned properties reported increases from March of 2010, including all 7 of our major Las Vegas properties. Our wholly-owned EBITDA was up in the low-double digits for March. The second quarter is off to a good start as well, as our properties reported solid results in April. Our results for the first 4 months of this year give us confidence that we have reached a turning point. Based on these results, we expect to continue seeing year-over-year growth in our wholly-owned business through the remainder of the year. One of the key reasons for this optimism is continued improvement in the Las Vegas market. Citywide visitor counts continue to increase and have now risen for 17 of the last 18 months. While previous growth has come largely from visitors who drive to Las Vegas, where recently, we have been seeing improved passenger counts in McCarran. Historically, visitors arriving by air spend more per visit so the growth in the passenger traffic is especially encouraging. Continued growth in Convention and Meeting business is a bright spot as well. The Con/Agg Expo brought 120,000 visitors to Las Vegas in March and NAB, the National Association of Broadcasters convention in April, with 93,000 attendees, up more than 5% from last year. Most major shows in 2011 have reported solid growth from last year. And based on current bookings, we expect that trend to continue through the second quarter. The growth in Convention and Meetings business is having a positive impact on hotel operators throughout the city. Citywide room rates have increased for 12 consecutive months and total occupied room nights are up for 14 straight months. Our properties are directly benefiting from these trends as well. Demand for our rooms and increased Convention and Meeting business at our properties drove an increase in cash room rates nearly 7% in our Las Vegas Locals business during the first quarter. This increase in room rates was a strong contributor to our overall results in Las Vegas. Improvements in Convention and Meeting business room rates and occupancy are starting to benefit the entire Las Vegas economy as well. Taxable sales have risen 7 of the last 8 months in southern Nevada. We saw a 6% increase in January, the strongest monthly performance in more than three years, followed by more than a 3% growth in February . This is clear signal that consumer spending has started to recover. In addition, it appears the job market may be turning in Nevada. In March, Southern Nevada saw its first year-over-year monthly increase since January of 2008. The job games were particularly impressive in a sequential basis as Clark County added more than 10,000 jobs from February to March of 2011. As job market continues to expand, consumer confidence will continue to strengthen. And this is encouraging outside of Las Vegas as well. The strength of our Hawaiian customer base is driving healthy growth in our Downtown Vegas business, and the brightening economic picture in the Midwest and South is helping drive year-over-year growth in that region. While concerns have been raised regarding high commodity prices, including gasoline, we have not seen an impact on our business to date. The transitory spike in gas prices did not have significant impact on our business several years ago, and we do not believe the current spike in prices represent a substantial long-term threat to the recovery of our business. Again, we believe we are seeing a turnaround and anticipate we will see continued growth in our wholly-owned business in the second quarter and for the remainder of the year. Touching briefly on Borgata, we saw our most difficult year-over-year comparisons at this property. This was principally due to lower table game volume and hold percentage. While the entire Atlantic City market is going through a difficult period, we are encouraged by the actions of Governor Christie and state lawmakers. By creating a tourism district and streamlining New Jersey's regulatory structure, it take an important step to ensure Atlantic City's resorts are able to compete effectively in the months ahead and establish the region as a long-term source of economic strength. We look forward to working closely with them as we put Atlantic City back on the road to recovery. Before turning the call over to Paul, I want to review the key strategies in which we will remain focused as business continues to improve. First, we remain committed to finding opportunities to strengthen our balance sheet. We took an important first step in this direction when we reached an agreement to sell Dania Jai Alai for $80 million. This asset was no longer consistent with our current growth strategy. And by selling it, we raised a significant amount of capital to be used to pay down debt and reduce our leverage. I'd also note that Dania represented a $4 million drag on our annual earnings. Between the elimination of this operating loss and reduced interest expense from the reduction of debt, we expect this transaction to be immediately accretive to earnings, adding about $0.06 annually to our earnings per share. We also remained committed to generating growth both within our core business and through expansion of our company. Generating growth in our core business as we move through this economic recovery is an important element to our overall growth strategy. We worked hard to improve efficiencies over the last several years, and we saw the benefits of this in our first quarter results with improvement in our operating margins. Improved operating margins will be a primary focus for the company going forward. We also remain interested in expanding our company through the acquisition of operations that can contribute to earnings immediately. As we've said before, we will evaluate potential transactions in a way that is strategic, deliberate and disciplined. Our intention is to pursue opportunities that are good fit for our business, deliver a solid return for our shareholders that available at the right price. Finally, the ability of our employees to deliver great customer service remains a key differentiator for our company and our brands. Our employees are a big reason our customers continue to choose our properties of the competition across country. Thank you again for joining us this morning. Now I'd like to turn the call over to Paul to talk more specifically about the results in each of our regions. Paul?
Paul Chakmak: Thanks, Keith. Hello, everybody. The positive operating trends we saw in the fourth quarter continued into the first quarter. The Las Vegas Locals region posted nearly flat results for the second consecutive quarter, both Downtown Las Vegas and the Midwest and South reported year-over-year EBITDA growth. Our net revenues declined slightly in the Las Vegas Locals and Midwest and South regions. We're able to manage expenses more efficiently to either maintain or grow EBITDA margins from the prior-year levels. Margins were flat in the Las Vegas Locals region, up 70 basis points in Downtown Las Vegas and increased 125 basis points in the Midwest and South. Additionally, we were able to benefit from significant revenue flow-through in our Downtown region despite higher fuel costs associated with our Hawaiian air charter program. We are definitely beginning to see the benefits of our more efficient business model as economic conditions improve. Now let me discuss our regional operating results in a little bit more detail. First, let's look at the Las Vegas Locals business, which is benefiting from an economy in the early stages of recovery. As with the case in the fourth quarter, The Orleans was the star of the region, posting nearly 20% year-over-year EBITDA growth in the first quarter. The Orleans saw growth across the business with increases in both gaming and non-gaming revenues. While an improving economic outlook and strong convention business helps, the Orleans is also generating significant growth from the efforts of its strong management team and employees, as well as very successful marketing initiatives. We're able to capture much of these revenue growth from the bottom line thanks to our operating leverage. We believe The Orleans' exceptional performance in both revenue and EBITDA is a preview of how operating leverage will play in our favor as business volumes recover in the months ahead. The Locals region has also seen a significant increase in Convention and Meeting business, which should contribute to growth in the region going forward. Our Convention and Meeting business was up more than 20% in the first quarter, and we expect this growth rate to continue. As business fundamentals continue to strengthen, all 4 of our Las Vegas Locals properties reported year-over-year EBITDA gains in March. The second quarter got off to an encouraging start as well with solid regional results in April. While the promotional environment remains elevated, it is clear that the aggressive advertising and promotional campaign launched by our largest locals competitor has not shifted yet away from our properties. Our customers continue to enjoy the exceptional customer service and a compelling value offered by our brand. If the current trends hold, we expect to show year-over-year growth in the Las Vegas Locals region in each of the remaining quarters in 2011. Elsewhere in Las Vegas, we saw particularly strong results in our Downtown region, which posted solid growth during the first quarter. Flow-through was an important driver of growth here as well, as EBITDA rose 8% on a 3% revenue gain. It's important to note that this EBITDA gain would have doubled had it not been for higher fuel costs associated with our Hawaiian charter service. For the second straight quarter, we saw a significant growth in business from our geographic Hawaiian customers. These positive trends have mitigated the impact of higher expenses at Vacations-Hawaii. Debt fuel prices were up sharply and fierce competition on Hawaiian air routes limits our ability to pass along these increases in the form of higher-ticket prices. While increased costs will remain a factor, we are optimistic that positive trends will continue in the Downtown business in the second quarter. In the Midwest and South, year-over-year growth accelerated. The MSR posted an EBITDA gain of nearly 5% in the first quarter, and we grew share in most of our markets. As we warned on our last call, severe winter weather reduced EBITDA by about $3 million during the quarter. However, this weather impact was offset by a similar amount in credits from property tax adjustments that hit in late March. So the gain in EBITDA is an accurate reflection of the region's operating performance. In Louisiana, Treasure Chest continued to perform well during the quarter due to highly effective marketing and overall economic strength in the region. Delta Downs benefited from a strengthening regional economy as well. Further north, economic conditions in the Midwest are improving, and we expect Blue Chip and Par-A-Dice to post year-over-year growth in the quarters ahead. As you may have heard, online casinos in Tunica, Mississippi were forced to temporarily close over the last several days due to flooding along the Mississippi River. This included Sam's Town, Tunica, which closed on Sunday. They do not yet have a re-opening day. The situation is hard to predict with any certainty, but we'll keep you advised. This closure will have a modest impact on regional results in the second quarter, though it is difficult to quantify how much at this time. Tunica normally accounts for about 2.5% of our wholly-owned property EBITDA. However, business interruption and flood damage are covered by our property insurance policy subject to a $1 million deductible. And we do not expect to have flooding issues at any of our other properties. Our most difficult comparison during the quarter came at Borgata, which posted declines in both debt net revenue and EBITDA. The $6 million year-over-year decline in EBITDA centered on table games and was principally due to 2 key factors. First, our table game volume was negatively impacted by competition from Pennsylvania. This impact was in line with our expectations, costing us approximately $2 million in EBITDA as compared to the first quarter of 2010. The second factor contributing to the decline was a decrease in table game hold percentage, which was responsible for $4 million of the year-over-year EBITDA decline. As some Las Vegas strip operators have previously noted, greetings to your customers have been reducing the length of their play sessions, which tend to have an adverse impact on table game hold percent. Borgata's seen similar behavior with our customers over the last several quarters, particularly in blackjack. And this has caused volatility in our overall table hold percentage. In addition, sometimes customers just play lucky, as a handful of premium players did in April. That contributed to an unusually low table hold percentage of just over 9% last month. We estimate that hold process about $6 million in EBITDA in April. However, we continue to have confidence in the integrity of Borgata's table game operation and believe that table games' hold will ultimately stabilize at 2010 levels of around 13%. Even as we experienced challenges centered around table games, the remainder of Borgata's business performed relatively well during the quarter. Slot win rose 7%, though the balance of the market declined 8%. In fact, we achieved record quarterly market share of 19% for both slot win and gross gaming revenue. Additionally, we saw positive results in cash ADR, room occupancy and food and beverage revenues. While the city faces significant challenges going forward, we continue to have confidence in the long-term future of Borgata. There is more competition in the region than ever before, yet a wide range of customers continue to enjoy Borgata's unique brand of hospitality. We will keep leveraging the strengths of our product and services that give Borgata competitive edge and will continue focusing our management efforts on building efficiencies into the operations. Despite the current challenges at Borgata, the year started off on the right foot, as our wholly-owned operations posted solid performance during the first quarter, an exceptionally strong March and healthy flow-through helped our wholly-owned business generate its first quarterly EBITDA growth since the recession began. We expect this growth to continue in the second quarter and through the remainder of the year. As the economy continues to regain its footing, we anticipate that spend per visit will rise across the business. A significant portion of that increase revenue should flow through to the bottom line resulting in healthy EBITDA growth. Thanks for your time today. I'd now like to turn the call over to Josh for a review of the financials.
Josh Hirsberg: Thank you, Paul. Comments on items from the quarter from a financial perspective. Starting with the balance sheet, excluding Borgata, Boyd debt balance at the end of the first quarter was approximately $2.4 billion, of which $1.4 billion was outstanding under our $2 billion credit facility. Borgata's debt balance was $829 million, of which $29 million was outstanding under their $150 million credit facility. On the income statement, corporate expense excluding share-based compensation for the quarter was $9.8 million, even with the prior year. Share-based compensation expense was approximately $1 million higher in the quarter due to a onetime accounting adjustment. So the amount in the first quarter does not reflect a good run rate for the remainder of the year. Depreciation expense in the quarter, which includes both Boyd and Borgata was $50.6 million, a decrease of approximately $6 million from the prior year. Boyd's depreciation expense represented $31.7 million of that number, which compares to $38.4 million in the first quarter of last year. The decrease in depreciation expense is due to our reduced capital expenditure program. Borgata's depreciation expense of $18.9 million was essentially even with the first quarter last year. Consolidated interest expense for the quarter was $57.3 million. Interest expense at Boyd was $39.9 million for the quarter, an increase of $11.4 million over the prior year, reflecting the impact of a financing activity in the second half of last year. Interest expense for Borgata was $17.3 million for the quarter, an increase of $11.7 million over the prior year, again due to the financing activity that occurred in the later portion of 2010. Our effective consolidated tax rate for the quarter was 33%. Before I complete our prepared remarks, I would like to comment on the recent Dania announcement. As we disclosed yesterday, we had reached agreement with a group of private investors to sell Dania for $80 million in cash. We have already received $5 million of the sales proceeds in the form of a non-refundable deposit. We expect to receive the remaining $75 million before the end of September when the transaction is expected to close. From a financial perspective, selling Dania is significant for several reasons. Upon closing, this transaction will be immediately accretive to earnings per share. Interest expense is reduced by approximately $4 million or $0.03 per share annually as a result of the $80 million in proceeds. In addition, Dania generates currently an operating loss of approximately $4 million or another annual $0.03 per share. This loss is presented in the other line item below EBITDA in our non-GAAP financial statement. So in total, this transaction is EPS accretive by approximately $0.06 per share per year. We also expect to recognize the tax loss of approximately $60 million and a book gain of approximately $40 million. The tax loss will reduce cash taxes by about $20 million. The book gain counts as EBITDA in the calculation of our covenant. As a result of this gain, the elimination of EBITDA loss and the benefits derived by reducing debt, our performance with improve across the board. So for many reasons, this is a solid step in the right direction for our company. With that, operator, we are now ready for questions.
Operator: [Operator Instructions] The first question comes from the line of Felicia Hendrix of Barclays Capital.
Felicia Hendrix - Barclays Capital: Keith and, I guess, to all of you, you're, clearly, you're optimistic about your Las Vegas Locals market for the rest of the year. I'm just wondering if you could parse out what you're seeing in your destination visitation for that segment. I know it's less than -- slightly less than 20% of your overall business there. But I'm just wondering if you have any color on how that's trended in April? You did say that you're not seeing any impact from gas prices, but I am just wondering how that's trending?
Keith Smith: I'll let Paul take a shot at that. I would say that, I think, the performance at the Orleans is a good indication of a property that has more of Destination business than some of our other Las Vegas Locals properties. And its performance was quite strong during the quarter and quite strong in April. But I'll let Paul provide some more detail.
Paul Chakmak: Yes, Felicia, I think as -- we track, obviously, like everybody, gasoline prices, not just in the Las Vegas market, but in all the markets we operate in relative to pricing, unique to those regions of the country. We have just not seen any correlation at all between the rise of gas prices and really the amount of volume or revenues being generated at our properties. Revenues has been very consistent. And then we continue to show growth. The speed of which is different based on the market we're talking about with obviously, gas prices going up. As it relates to where we're seeing it as far as improvements are concerned, in the Las Vegas Locals market, it's really not necessarily unique to any particular segment overall. I think to Keith's point, given nearly 2,000 hotel rooms at the Orleans destination, obviously, has the bigger impact there than at other places. But as you'd expect, I think, in a recovery, those folks that are most interested in the products that we have, that our destination -- or in database, Emerald customers, which is our top-tier, are really where we're seeing the most amount of growth.
Felicia Hendrix - Barclays Capital: That's great. And actually, that kind of -- is a good segue to my next question because the business in Las Vegas Locals market did hold it very well in light of the competitive promotional environment. You guys have been talking about that throughout the quarter, how it wasn't affecting you. But I'm just wondering, you did show great cost controls. You also have your improved loyalty program. Was there one that helped benefit more than the other? Can you break that out at all?
Paul Chakmak: Well, I mean, I think, obviously, marketing overall, whether it is our B Connected card, which is our database card or just marketing overall and really spending marketing dollars sufficiently and effectively is a key part of maintaining margins and continue to grow margins. And I think you may just, over time, obviously, learn a lot in what is effective and not spend money, frankly, just to spend money, but spend in a way that people really appreciate. And that's what we continue to do.
Felicia Hendrix - Barclays Capital: Great. And then I assume that you're taking that same strategy in Atlantic City that your promotional expense is a little bit higher than we had expected. So I'm just wondering what you're seeing there and what we should expect going forward?
Keith Smith: Sure, in Atlantic City, clearly, as look through the numbers, you'll see some elevated levels of promotional spend, and it was aimed primarily in the slot area, but also a little bit in table games. And that was a kind of focused planned effort if it's not necessary indicative of what you will see in the future. I will note that it was profitable at the end of the day that when you look at slot win less promotional expense, it was higher year-over-year even though we spent more money. So it was more of a focused approach that took place during the quarter, and it's, again, not necessarily indicative going forward.
Josh Hirsberg: Just to add one comment to Keith's remarks is that relative to the competition in Atlantic City, Borgata still has one of the lowest levels of promotional expenditures in the marketplace. We look at that in terms of published results as well.
Operator: Your next question comes from the line of Joe Greff of JPMorgan.
Joseph Greff - JP Morgan Chase & Co: Paul, you've been discussing the Las Vegas Locals trends in March and April. You mentioned all 4 Locals properties in March were up year-over-year from an EBITDA perspective. April was solid. When you look at those results in March and April, is that an increase in frequency? Or is that an increase in spend per visit if you can help us understand that? And then Josh, I don't know if you gave us cash balances at the end of the quarter or CapEx for the quarter and CapEx for the rest of the year, that would be helpful.
Paul Chakmak: First, on the frequency kind of question, Joe, to my point about our top-tier customers' frequency is definitely up in that category. And I would say it is relatively stable as we go below that as opposed to where we were seeing frequency decline in some of our lower tiers, pretty substantially throughout the recession. On spend per visit, really honestly depends on the property, whether, frankly, it's in Nevada or elsewhere. That's where we're seeing spend per visit come in. I would say to you that spend per visit, generally speaking, is no worse than flat. And in some of our markets, including some of our properties in Las Vegas, spend per visit is starting to grow.
Josh Hirsberg: So with respect to your financial questions, with respect to cast, Boyd's cash flow was about $150 million and Borgata's was $25 million. In the quarter, we spent about $10 million at Boyd on maintenance capital and just under $4 million in related capital at Borgata. When we gave guidance for the quarter for the items that we give guidance for, we indicated that Borgata's CapEx for the year would be about $40 million, $5 million related to a portion of the room remodel that's going on. The other $25 million, over half of that would be spent in the first quarter related to Borgata's room remodel -- first quarter next year. And then at Boyd, we indicated we expected our capital expenditure program for the year to be about $50 million.
Operator: Your next question comes from the line of David Katz of Jefferies.
David Katz - Jefferies & Company, Inc.: There was some commentary, I think, by Keith earlier about the prospect of acquisitions. Could you maybe talk about some of the key attributes you're looking for or give us some sort of characterization of what would be appealing to you, obviously, beyond just the economic ones? We presume you're looking for good return, but what else can you tell us about things that you would sort of draw a circle around?
Keith Smith: Sure. Well, what's going on is we look to continue to grow the company, acquiring existing assets or acquiring cash flows that's in line with our current strategy. We've been fairly consistent over the years with what we look for, just that not -- just something that provides a good return to our shareholders, but something that continues to diversify our asset base. So we're looking in markets maybe where we don't have a flag to date, and looking for markets or states that have stable tax environments, stable regulatory environments, places where we are confident, investing our capital because the investment or the size of these investments gets larger and larger every year. So we have to be confident in the regulatory structure, and then the taxing structure. But when you look at those 2 factors, along with making sure that it's priced right so we can get a return for our shareholders. Those are kind of the 3 key elements we're looking for.
David Katz - Jefferies & Company, Inc.: And do you have any kind of an inclination toward or away from the racino model versus the riverboat model versus land-based? Or are those not relevant factors at all?
Keith Smith: Really not relevant. I think we're probably agnostic with respect to whether it's a racino or a riverboat or a land-based facility. Clearly, the acquisition of a major land-based asset probably provides more opportunities so we're focused on some of that, maybe at larger cash flow than smaller cash flow. But whether it's land-based or riverboat or a racino, it's probably more in line with the size of the cash flow than the type of the asset.
David Katz - Jefferies & Company, Inc.: And could we or would we rule out something that's transformational? That since we're talking about size, I mean, would you entertain doing something that was in the neighborhood of doubling the size of the company?
Keith Smith: I think, we look at ways to increase shareholder value overall, whether those are large or small, we'll take a look at those ways. We don't set something aside just because it's too large. We may set something aside because it's too small, and doesn't move the needle. But the size of an acquisition doesn't deter us.
David Katz - Jefferies & Company, Inc.: Okay. And if I can just clarify one thing and make sure I have it right, with respect to April, specifically in the Las Vegas Locals market, I think Paul, you said that the spend per visitor was starting to go up. And did you say that visitation was up in April as well?
Paul Chakmak: I said, I think, to Joe's question, we have started to see frequency improve at the high end of the database. And I said on spend per visit, really depended on the property where, at worse, we're seeing flat results and in some cases, we're seeing improvement.
David Katz - Jefferies & Company, Inc.: That's perfect.
Operator: Your next question comes from the line of Shaun Kelley of Bank of America.
Shaun Kelley - BofA Merrill Lynch: I just wanted to ask a little bit more about -- I think, you have some good data points on March and April. So looking out a little bit further, I mean, one of the consistent questions we get a lot about is just the limited visibility out there in Las Vegas. I mean, can you -- is there anything you can help us get a sense around for -- and I don't know, if bookings at the Orleans or anything that you guys are looking at on a forward -- kind of forward bookings side to get a little bit more comfortable with how the environment is turning out there beyond kind of what you've seen today, particularly maybe in the summer period because, I think, a lot of people are worried about that trough in Vegas during that period as well?
Paul Chakmak: Okay. And I think the summer in Las Vegas, whether it's 2006 or whether it's 2011, everybody's worried about the summer in Las Vegas. It is clearly a soft period even in the best the markets out here. And I think we stay very focused on filling hotel rooms during the summer. And it's a time when Convention and Meeting business, obviously, naturally falls off as well between summer vacations for schools and other family outings and just the fact that Vegas isn't quite the same destination in the heat of the summer than it is in some other periods during the year. So it will be competitive from a room products standpoint and the pricing standpoint this summer like it has been every other year, in the best and worst of times. So I have no doubt about that.
Shaun Kelley - BofA Merrill Lynch: Okay. And then, I guess, the other thing would just be if you could talk a little bit about -- I mean, obviously, the Dania transaction was -- you mentioned how accretive it was in removing some of the operating losses. If you think about kind of the strategy behind Echelon and what the kind of opportunity would be for that land, kind of what's the latest thinking there? And, I mean obviously, it's a big drag on operating earnings so that's kind of why I ask.
Keith Smith: With respect to the Echelon development on the Strip, we continue to, kind of, I guess keep it as an option and assess our future. We are not taking any specific actions right now. We're, obviously, continuing to watch the market and try and determine when the best time to move forward on that asset may be. It's clearly not today. It's clearly not this year. It's probably not next year. As we kind of look into the future of the Strip and we look into the future of consumer demand and when it hits a point that you could add another project of that caliber. So if we had an opportunity to sell some of the land, we just sit on 88 acres, would we entertain it? Sure. That opportunity hasn't presented itself. We clearly have long-term confidence in Las Vegas, in Las Vegas Strip. We look forward to having an asset on the Strip at some point in our future as a company. We think, strategically, that's important for us. And still have that as a longer-term focus as we look to the growth of our company.
Operator: Your next question comes from the line of Chris Woronka of Deutsche Bank.
Chris Woronka - Deutsche Bank AG: I think you mentioned you haven't really seen any impact from gas prices portfolio-wide yet but just want to ask you, if you're not doing anything on the promotional side, do you have any sense that any of your competitors might be trying to get ahead of that a little bit as the summer approaches?
Paul Chakmak: In what way?
Chris Woronka - Deutsche Bank AG: Just in terms of promotional activity?
Paul Chakmak: Well, I mean, just broad-based promotional activity. I mean, again, I think, obviously, from a destination standpoint, how you market your rooms and, obviously, you could spend a lot of effort marketing our rooms to our existing database and our existing group of known customers in the values that those folks can obtain relative to room product in the summer is, obviously, quite competitive. But again, you're comparing it to the same period last year in an economy that was, obviously, on pretty tough times as well. So on a year-over-year basis, it's an apples-to-apples comparison.
Keith Smith: I also think it's important to note that over the last several years, in last year, in particular, we've worked hard to maintain control of the marketing expense and to find the right level of promotional expense and not react to our competitors, who may be out there and decided that they want to launch a very aggressive campaign. I think we've been able to do that effectively, to spend our marketing and promotional dollars wisely, to build loyalty with our customers and have them continue to visit our properties even in the face of maybe some enhanced marketing from our competitors. So there will be enhanced marketing, I think, as you enter the summer, it's natural. I don't think you're going to see us react to that. We're going to remain fairly disciplined on that front.
Chris Woronka - Deutsche Bank AG: Great. And I think the data points you put out on April are pretty encouraging. But on the ones you gave out for March, do you think there's an Easter impact in there? Is it even possible to quantify?
Paul Chakmak: I think it is tough to quantify. I mean, I think, your point is that Easter is one of the weaker weekends since, obviously, its focus isn't necessarily on hotel casinos. And that hit in different periods year-over-year. It's not going to quantify. I mean, it's not that material a difference in any particular year.
Chris Woronka - Deutsche Bank AG: Okay. Very good.
Operator: Your next question comes from the line of Steven Ruggiero of CRT Capital.
Steven Ruggiero - CRT Capital Group LLC: I noticed that your maintenance utility expense line was well-controlled during the quarter, notwithstanding the higher energy prices we've seen year-over-year. And I wanted to see if the maintenance side of that equation is just a cycling, such that it keeps the overall number down? Or is there something specific you're doing with your utility expense to keep that in line?
Paul Chakmak: Steve, it's Paul. We've spent a lot of time on the utility side of that equation. Our utility cost, natural gas, electricity, as a group, are generally actually down even though pricing is up. We've created the specialty within the company like -- certainly, others have as well, to focus of those areas. And I think we've been very successful given deregulation in many states to frankly just purchase things smarter. We also have a pretty significant effort around not just going green, but just being more efficient in electricity consumption. That, in many cases, includes changing out lighting fixtures and other things. But there are real short-term payoffs for us in number of those areas relative to the capital spend that's required.
Steven Ruggiero - CRT Capital Group LLC: Helpful. And just one follow-up question on a different subject, and that's your room revenues were your wholly-owned properties, up mid-single-digit year-to-date or, I should say, for the first quarter. Is that driven more from the occupancy side? Or is it driven by the ADR side of that RevPAR? And could you just elaborate as to which regions are driving that? Is it mostly the Las Vegas properties? You made the reference to the 7% cash room increase.
Paul Chakmak: Well, first you got to keep in mind that we've got about 7,000 wholly-owned rooms and 5,000 are in Las Vegas. So Las Vegas, obviously, is going to be key driver to the hotel aspect from an ADR perspective. We have seen ADRs start to creep up slowly, I think, just like our bigger competitors have with higher-end rooms. It is still, obviously, a bit of a commodity, a hotel room in Las Vegas. But there is some build and, certainly, it has really helped in my comments on Meeting and Convention business, are really meant to hit spot on mid-week. Over the last couple of years, it has been very challenging, obviously, to sell rooms at any price that you would find acceptable. And that has started to improve. And that has a pretty meaningful impact overall. You could start to see some firmness in mid-week as a key contributor to overall improved profitability.
Josh Hirsberg: Yes, just adding to that, I think what we benefited from is not only the broader Convention business is coming to the Las Vegas Strip and enabled us to price our rooms more aggressively but also demand for our own meeting space and product, primarily, again, at the Orleans.
Steven Ruggiero - CRT Capital Group LLC: Okay. That's very helpful.
Operator: Your next question comes from the line of Carlo Santarelli from Wells Fargo.
Carlo Santarelli: I just want to comment a little bit or maybe pick your brain a little bit on promotional activity, specifically in Atlantic City. You guys have, obviously, a new -- not necessarily a new competitor, but new ownership takeover, who, I think, it's been well documented, has been pretty promotional. Next year in July, you'll have a new competitor. And I would expect more of the same there. Could you kind of talk about specifically as it relates to that market the way you will go about promotions in the near term, and then, as well, post the opening of Revel?
Keith Smith: When talking about any level of specificity on promotions would be probably a little bit too much of a roadmap for our competitors. I think we look at promotions on, generally, what's going on in the market on any given month, kind of where we think we can pick our spots to maintain our customers and to kind of improve our position. The Borgata, obviously, has had a leadership position in that market since it opened. It continues to maintain that and growth in many respects as we hit some record market share numbers in this last go around. And, yes, we'll continue to very carefully, as I said, pick our spots with respect to promotional spending. It will be up in some months and some quarters and down in other months, in other quarters. We clearly realized that the opening of Revel a year or so from now will create a new dynamic in that marketplace, that it will get visitation. We are taking the opening of that very seriously. And we'll have plans in place, well in advance of the opening to compete with that and make sure that our property, the Borgata, maintains its leadership position in that market and doesn't given up just because a new competitor opens that market. So we will that work hard. We're talking about it currently about how we deal with it and how we position ourselves for it, and we'll work hard over the next 12 months to make sure that we have good plans and operations in place to fight the opening of that property.
Carlo Santarelli - Wells Fargo Securities, LLC: Great. Thanks Keith, and if I could just ask one follow-up, I think you mentioned in your remarks regarding -- or as it related to Borgata, a 13% hold similar to 2010. Going back, historically, in the '08-'09 period, hold was clearly on the table side north of 14% at Borgata. Is there a structural change in game mix or anything that leads you to believe the 2010 level is the right level go forward, or are we just there until maybe volumes and play levels come back?
Keith Smith: Yes, I think it's the latter. I think that low 14s was kind of our run rate over the years. I think as we've seen a higher level of premium tier play over the last couple of years as we've lost some of the lower-end play, table games volume at the Borgata, you've seen kind of a shift hold has dropped. You've also, I think, seen a little bit of less time on the game by some of these players. And I think that will cycle through over the next couple of years. So we think the 13% level is probably the right level for next year or 2, and it will eventually, I think, trend back up just a little bit.
Operator: Your next question comes from the line of Dennis Forst of KeyBanc.
Dennis Forst - KeyBanc Capital Markets Inc.: I had a couple of questions, maybe just a follow-up on the Borgata question with Revel. On the other side of the equation, do you foresee any closures, maybe less competition from existing operators?
Keith Smith: Well, I'm not going to predict, I guess, any particular properties' demise. Clearly, the Atlantic City marketplace can use or demand and conversely without being able to draw more demand, I think, out of less capacity is a good thing. There are some weaker competitors, I think, in Atlantic City. What happens to them, ultimately, I don't know. And I'm not going to predict. So...
Dennis Forst - KeyBanc Capital Markets Inc.: Okay. Do you think that it's possible that Revel could actually help Borgata by bringing in more quality type of customers?
Keith Smith: I do hold that view. I do believe that having another high-quality operation with the right amenities and the right product can bring more customers to Atlantic City. More customers that maybe today don't come down because the right type of amenities or quantity of those amenities don't exist and so that it can draw some additional customers. And I certainly -- I'm very confident of Borgata's chances of getting their fair share of those customers coming into the market.
Dennis Forst - KeyBanc Capital Markets Inc.: Okay. So if I could shift gears and go to Paul, again, and maybe harp a little bit on the Las Vegas Locals market, there was a lot of talk about improved amount of frequency of play, higher room revenues, what in general were gaming revenues for your 4 locals properties down in the first quarter?
Paul Chakmak: What's the question, Dennis? The gaming revenues were down...
Dennis Forst - KeyBanc Capital Markets Inc.: The gaming for the Locals -- for your Local division?
Paul Chakmak: Gaming revenues were slightly down in the first quarter, that is correct.
Dennis Forst - KeyBanc Capital Markets Inc.: Okay. But in the month of March, you said all 4 properties were up EBITDA. Then you said April was a solid month. I'm just trying to get the body language. Does solid mean all 4 properties were up in April also, or were the 4 combined up in April? What does solid mean?
Paul Chakmak: I think, obviously, I didn't say that all 4 properties were up in April, so you can probably guess that they weren't all up in April. But I think in April, we were very positive on the fact the group, as a whole, performed well.
Dennis Forst - KeyBanc Capital Markets Inc.: Okay. Good. And then on the Downtown then, how is April in Downtown?
Paul Chakmak: Well, I think, absent fuel costs, we were very pleased with the top line and EBITDA performance of the properties overall. The burden of jet fuel on a year-over-year basis is a very significant number. And so, we are certainly pleased with how downtown has continued to perform and our expectations of downtown through the second quarter and really, the pressure overall on downtown, as a group, for the second quarter will be directly associated with really where jet fuel ends up on average for the quarter.
Dennis Forst - KeyBanc Capital Markets Inc.: Okay. But the economy in Hawaii, as much as it's suffering just in general, and now with the Japanese earthquake, are you still seeing good strong demand from your Hawaiian big customer base?
Paul Chakmak: Well, before the tsunami in Japan, the Hawaiian economy was actually showing some very positive signs, very positive signs overall. And there was significant strength there. Japan accounts for about 20% of the inbound tourism -- destination tourism into Hawaii. Obviously, with the tsunami and everything that's going on in Japan, there has been a direct impact on near-term visitation into Hawaii. And I know an awful lot of cancellations at resorts in Hawaii for that Japanese group. And the flip side of that is, there is, obviously, got to be a significant amount of rebuilding in Japan. And with that economic stimulus, I think over the longer term, I'm not -- unlike other natural disasters, we would expect some significant improvement in the Japanese economy over the medium term. And again, I think Hawaii just benefits from that given, again, 20% of their inbound visitation comes out of Japan.
Dennis Forst - KeyBanc Capital Markets Inc.: Yes, okay. And then lastly, the upcoming closure of the Sahara, I can see it being a two-edged sword for you that it will put a number of locals out of work. But on the other hand, it reduces the number of rooms in Las Vegas. How do you see that closure playing out for you folks?
Paul Chakmak: I think, obviously, from a room standpoint, taking out room inventory is certainly a positive for everybody that operates in this town. As it relates to the employee base of the Sahara, I know first hand, many of their employees had been able to find work at other properties throughout Las Vegas. I also think given our experience at the Stardust, I would expect that the population of the Sahara would just take the opportunity to retire and enjoy life.
Operator: Your next question comes from the line of Justin Sebastiano of Morgan Joseph.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: No one has talked about the LVE Energy Partners fee that you guys are going to be paying. That's roughly, I guess, about $11 million to $12 million a year. Where is that going to show up on the income statement? I know you broke it out, I guess, with the different segments between wholly-owned and Borgata, but on the actual income statement, where do we find that?
Josh Hirsberg: It will be in pre-opening, pre-opening income.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Okay. And so roughly that's about -- that's what like $0.09 a year, roughly, after-tax?
Josh Hirsberg: It's approximately $12 million per year, so ...
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Okay, okay. That the math I'm coming up with. So this, I mean, this will continue, I guess, until you guys decide what's going to go on then with Echelon, whether you actually develop it or, I guess, sell it off?
Josh Hirsberg: Consistent with our filing, both the 10-K and the 8-K related to the agreement, is that we will pay basically $1 million a month. So we either start Echelon, or we project back on that side or choose to buy them out of their investment, a purchase option in that agreement.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Okay. And that's roughly about $200 million is the buyout? About $195 million or so?
Josh Hirsberg: It basically represents their investment in that facility at that time. Another way to think about it is they were one of the providers of services related to Echelon, either through building the energy plant or like in other cases, folks are doing construction-related work or services, contracting and consulting work. And so no one had really contemplated the kind of delay associated with Echelon. We just needed to sit down and see what work for both parties. And that's what came out of the agreement.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Right, okay. And so if you guys end up selling the land, does that then go to the new owner? Does that -- the JV or are you guys on the hook for that $195 million that would be used to buy them out?
Josh Hirsberg: I think it would be dependent on structuring of the transaction and what -- probably it's 87 acres so if someone bought 5 acres at one corner, then that wouldn't obviously affect our agreement with LVE or the land that they deed from us, to the extent that if someone wanted to buy 87 acres, then we'd have to understand what they were contemplating doing to kind of factor that in. There's a range of possibilities, both in terms of outcomes, as well as in terms of our flexibility to consider alternatives there.
Paul Chakmak: But, I mean, You've got to keep in mind that in a plant like Las Vegas, energy is required to operate any sort of facility on that site. It isn't like you can buy what it produces from Nevada energy or some other utility. It produces hot and cold water effectively, which is used throughout the facility. And it or something like it would have to be constructed if it wasn't used for whatever happens on the site.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Sure. Okay, okay. And Paul, I think you have mentioned that weather impacted EBITDA at your riverboats by about $3 million, but you made that up elsewhere. Was that a property tax gain or what exactly was that again? And forgive me for not hearing that.
Paul Chakmak: That's right. Weather causes $3 million in January and February, primarily in February. Late in March, we had been working on property tax issues. Actually, in this particular case, it's in the Midwest and South region. And these are property taxes that have been expensed, but not paid but expensed through the income statement, so they had a prior-period impact negatively on EBITDA that were, as a result of some re-evaluation work, reversed. And so since we had expensed it in prior periods, we reversed it into the first quarter, and that accounted for just under $3 million. You can see it if you look at the EPS calculation. We adjusted out of EPS because it was a prior-period adjustment. That's included in EBITDA because it was a prior-period expense, so now it's a current-period benefit.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Got you. Okay. And so was that spread across all of your riverboat properties? Or was it just a couple or one?
Paul Chakmak: It was predominantly at one.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Which one?
Paul Chakmak: Blue Chip.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Okay. And then so the weather, I assume, was Blue Chip and Par-A-Dice, is that the most affected by that?
Paul Chakmak: Prominently Blue Chip.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Blue Chip. Okay.
Josh Hirsberg: On the revision and estimate, it's a conclusion of the negotiation with the tax authorities.
Justin Sebastiano - Morgan Joseph TriArtisan LLC: Got you. Okay.
Operator: Your next question comes from the line of Mark Strawn of Morgan Stanley.
Mark Strawn - Morgan Stanley: One question on the locals market. You mentioned some strength on the room side and the cash room revenues. If we kind of look through the P&L there in your locals market, what percentage of EBITDA or departmental profit does that account for? As you kind of look forward and project out EBITDA growth going forward, Is that a main driver of it or is it really on the gaming side?
Keith Smith: Well, I think it's -- I mean, it's in all honesty,a balance. I mean, throughout our business, we're obviously much more gaming-centric than full-scale resorts on the Las Vegas Strip. Roughly depending on the property and the size of our hotel, 70%, 75% of revenue comes from gaming and, obviously, the balance is non-gaming, with food and beverage also playing a pretty significant role. The benefit, obviously, of rising cash ADRs for us or any of our peers is simply the fact that the expense base associated with those rooms is a fixed cost. So if I get $1 more of cash ADR, I get it really, practically speaking, $1 more of profit. And you saw that in a huge way, obviously, on the downswing through '08, '09 '10. And it's just going to come back the other way.
Mark Strawn - Morgan Stanley: Okay so as you look forward, is it really a mix of those 2 factors driving the growth going forward? Or do you expect one to lead the other? Or is it really more a broad-based gaming recovery that we need to see, to see more substantial growth rates in the Locals market?
Keith Smith: I think they will -- I mean, I think, they'll both have a positive impact. The velocity of the impact, I guess, is what you're getting at, is really a question for what we expect to see in the future. I mean, growth in the Las Vegas Locals region, from our perspective, will be slow and gradual. It's not going to be an overnight type of thing. And, obviously, the way our business sets out this year in Nevada, in particular in the Las Vegas Locals region, I mean, gaming being a much larger piece of that, we'll certainly benefit to initially, maybe a little bit more equal, but I would expect this traction in Las Vegas relative to the local economy by the sheer nature of the numbers, gaming should start to play a greater role as time goes on.
Operator: Your next question comes from the line of David Hargrave of Sterne Agee.
Unknown Analyst - : I was wondering if you had your leverage tests overall and secured and if you could tell us what they are pro forma for Dania, if possible?
Josh Hirsberg: Sure. The leverage ratios were essentially the same that we've reported in the fourth quarter. The secured leverage ratio, I think, was right around 4.2x, which is exactly what we did in the fourth quarter and total of 7.1x. And then, I don't think we'll give out the exact ratios that we're projecting for Q3 when the transaction closes, because I think that'll give you an idea of guidance. But what I will say is that we would expect because they have different multiplier effects, there's a different effect on each one of the ratios so secured leverage ratio probably will improve by about 60 basis points and the total leverage ratio will probably -- by almost a full turn, 90 basis points.
Operator: At this time, we have time for one more question. And your final question comes from the line of Kevin Coyne of Goldman Sachs.
Kevin Coyne - Goldman Sachs: Just wanted to address the non-extended revolver. I know you have the ability to pay that down when it comes due with the extended portion. I was just wondering if you could give us a sense of -- is that the basic plan? Or are there other alternatives of how you'll address that? And then I have a follow-up.
Josh Hirsberg: Yes, I think the way we look at it is we have a -- just as we talk about it, it's all about in terms of refinancing our balance sheet right last year, we have several alternatives that we're think about with respect to the non-extending portion. I think one of the most obvious is just the fact that we're extending availability and use it for that purpose. And I think that while we might have less near-term availability than we would like to run the business, then we can come back at some point and deal with that issue. Now in the current environment where our business feels like it's getting better and we see the trends are headed in that direction, limited CapEx, we just don't have the need for the kinds of availability that we've had historically. So we have kind of the facility to use the extended facility and then deal with it down the road if conditions kind of are more favorable for us before then around that time, then we'll probably look at alternatives. But I think we're comfortable, if necessary, just using the availability under the extended portion, and then dealing with it after the fact. That's kind of what we've will talked about and thought about when we did the initial financing. And we will see how things develop between now and then, where we don't feel any real pressure to doing things different before then.
Kevin Coyne - Goldman Sachs: Okay, great. And then so, I guess, knowing that you have that as the option, do you think you'll start to consider addressing some of the other maturities such as the sub-notes, which are callable today?
Josh Hirsberg: I think in the context of how we are thinking about the business, we will firmly start thinking about those kinds of things. But again, we have plenty time. The sub-notes don't mature until, say, 2014. And we kind of like the long runway we have before we have to deal with any of those maturities. Or we feel like again, with the business -- with the wind at our back and probably the trends in our business. We don't feel any need to kind of do anything right now.
Kevin Coyne - Goldman Sachs: Great. And if I could just ask one more related to the Borgata. Obviously, with a new competitor coming in and with the state government kind of trying to focus on the branding of Atlantic City and a potential focus on increased targeting of convention and larger group business, do you see -- is that something that you're going to start to work on and see as a potential driver for more growth? And would that include potential collaboration with that new competitor?
Keith Smith: Well, I think, anything that will grow the Atlantic City market, we are a strong supporter of. And we'll be part of the conversation. I think as I said in my comments, we're very supportive of the actions that the governor -- the government has taken and look forward to their continued involvement in moving Atlantic City forward, increasing the amount of Convention business so that we certainly can take advantage of that. Once again as they bring more customers to Atlantic City, we are surely confident in our ability to get them into our building and have them become long-term customers for us. Any collaboration or cooperation with Revel, it's hard to predict what that might look like or how it would take place at this point. I think they're probably just getting their feet on the ground, moving their project forward. But we are interested in any and all conversations that help to move Atlantic City forward. We want to be part of them and want to be part of that overall solution.
Josh Hirsberg: All right. And just to be clear, Kevin, I don't think we've -- contemplating, sustaining, meeting our convention space at our facilities. We don't see any need to do that. That's their business model. Right now, we're just a part of that debate, fully built out. And that's what we'll continue to focus on.
Kevin Coyne - Goldman Sachs: Okay. That's great. I appreciate it.
Operator: At this time I would like to turn the call back over to Josh Hirsberg for closing remarks. Please....
Josh Hirsberg: Thank you. And thank you for everyone who's participated in the call today. And if you have any follow-up questions, feel free to reach out to the company. Thank you.